Operator: Ladies and gentlemen, thank you for standing by. My name is Bhavesh, and I'll be your conference operator today. At this time, I would like to welcome everyone to the Vasta Platform Third Quarter 2023 Financial Results Conference Call. [Operator Instructions] Before we begin, I would like to read a forward-looking statement. During today's presentation, our executives will make forward-looking statements. Forward-looking statements generally relate to future events or future financial or operating performance and involve known and unknown risks, uncertainties, and other factors that may cause our actual results to differ materially from those contemplated by these forward-looking statements. Forward-looking statements in this presentation include, but are not limited to, statements related to our business and financial performance, expectations for future periods, our expectations regarding our strategic product initiatives and their related benefits and our expectations regarding the market. Forward-looking statements are based on our management's beliefs and assumptions and on information currently available to our management. These risks include those set forth in the press release that we are issuing today as well as those more fully described in our filings with the Securities and Exchange Commission. The forward-looking statements in this presentation are based on the information available to us as of today. You should not rely on them as predictions of the future events, and we disclaim any obligation to update any forward-looking statements, except as required by law. In addition, management may reference non-IFRS financial measures on this call. The non-IFRS financial measures are not intended to be considered in isolation or as a substitute for results prepared in accordance with IFRS. Thank you so much. I will now hand the call over to Marcelo Werneck of Investor Relations. You may begin your conference.
Marcelo Werneck: Good evening, everyone. Thank you for joining us in the conference call to discuss Vasta Platform's third quarter 2023 results. I am Marcelo Werneck, Vasta's Investor Relations. And today we have the presence of Guilherme Melega, Vasta's CEO and Cesar Silva, Vasta's CFO, who will be joining me on the call. During the call, we'll cover key highlights, financial insights, and strategic developments that have shaped our performance in the 2023 commercial cycle. Let me now hand over the floor to Guilherme Melega, our CEO, to make his opening statements.
Guilherme Melega: Thank you, Marcelo. Thank you all for participating in our earnings release call. I would like to cover Slide 3 with some highlights of our 2023 commercial cycle. In this quarter, we concluded the 2023 commercial cycle, and we believe that the commercial cycle is the best way to understand our business. Our net revenue increased 24% to R$1.437 billion, mostly due to the conversion of 2023 ACV into revenue and also due to the performance of the non-subscription products and B2G. Vasta subscription revenue has reached R$1.207 billion, an 18% increase over the 2022 sales cycle or 22% excluding textbook subscription products, PAR. Our complementary solutions segment continues to stand out, showcase the highest growth rate among our business segments with a 42% increase in the current cycle. Moreover, as mentioned in the last quarter, in 2023, Vasta started to offer its products and service to the Brazilian public sector, B2G. In the third quarter of 2023, we generated R$40.7 million in revenues with the B2G sector and in the 2023 sales cycle, we generated R$81.2 million in revenues with the B2G. Moving to the company's profitability. In the 2023 commercial cycle, our adjusted EBITDA experienced a growth of 23%, reaching R$411 million, while maintaining an adjusted EBITDA margin close to 29%. Finally, this was another year of significant improvement in our cash flow. In the 2023 sales cycle, free cash flow totaled R$145 million, a 167% increase from R$55 million in 2022 cycle. The last 12 months, free cash flow to adjusted EBITDA conversion rate improved from 16% to 35%. I will now turn back to Marcelo, who will talk about the financial results of the quarter and the 2023 commercial cycle.
Marcelo Werneck: Thank you, Melega. In this slide, we present the composition of Vasta's net revenue. On the left side, you can observe a significant organic year-on-year growth in total net revenue for the third quarter, which increased by 37%, reaching R$258 million. On the right side, let's detail the key components of this revenue growth. Subscription revenue had an increase of 15%. Excluding PAR, our subscription revenue experienced a growth of 20% year-on-year. During the third quarter of '23, we successfully generated another R$41 million in revenue from the B2G sector. And finally, the non-subscription revenue increased by 17%, reaching R$22 million. Moving to Slide 5. We analyze the net revenue for the '23 commercial cycle. In '23, we achieved an organic net revenue growth of 24%, amounting to R$1.437 billion. As you can see on the right, our total subscription revenue increased by 18% on an organic basis to R$1.207 billion. Subscription revenue excluding PAR had an increase of 22%, reaching R$1.095 billion. However, PAR, our textbook subscription products declined by 11%, amounting to R$112 million. Subscription revenue continues to be the major contributor to our total net revenue, representing 84% of the revenue share. Also, our successful expansion into the Brazilian public sector, B2G, has yield promising results, contributing to 10% of our overall revenue in the '23 cycle and generated R$81 million in revenues. Non-subscription revenue now comprises only 10% of the total revenue and increased by 12%, primarily driven by the introduction of the new revenue streamlined from our flagship school Start-Anglo. Moving to Slide 6. In this quarter, our adjusted EBITDA amounted to R$39 million with a margin of 15%. This positive performance is attributed to several factors, including strong sales results, cost dilution, and operational efficiencies. On the right side, the adjusted EBITDA for the '23 cycle increased by 23% to reach R$411 million with a margin of 28.6%. In the next slide, you will see the breakdown of the adjusted EBITDA margin. In Slide 7, the EBITDA margin showed a slight decrease of 40 basis points compared to the last cycle from, 29% to 28.6%. Firstly, our gross margin declined 30 basis points as '23 was a year that the industry faced a higher inventory cost caused by rising inflation on paper and production costs. Moreover, our provision for doubtful accounts, PDA, grew 150 basis points compared between the commercial cycles. This increase in PDA is impacted due to the provisioning of 100% of accounts receivable from a large Brazilian retail company undergoing bankruptcy procedures in the amount of R$9 million in the '23 commercial cycle, which contributes to 80 basis points in our EBITDA margins. We also experienced 70 basis points in our generic PDA, which will be explored further ahead in our presentation. Despite this challenge, there are several positive aspects to highlight as we managed to offset these negative impacts through significant operational efficiency gains and cost saving measures. An improved product mix fueled by the growth of our subscription products has played a crucial role. As a percentage of the net revenue, our commercial expenses had an improvement of 40 basis points, indicating greater cost effectiveness in our sales and marketing efforts and our adjusted G&A expenses improved by 100 basis points. Moving to Slide 8. The adjusted net loss in the third quarter of '23 amount to R$30 million compared to a net loss of R$42 million in the comparable quarter of '22. As you can see on the right side, our adjusted net profit in the '23 commercial cycle has shown us improvements increasing by 83% comparing to the '22 cycles, reaching R$36 million. Finance costs in the scenario of a spike in interest rates continues to impact our bottom line. However, we have remained committed to deleveraging as you see further in this presentation. Moving to Slide 9, we show the free cash flow evolution. We continue to observe the normalization of the company's cash flow generation. In the third quarter of '23, the free cash flow totaled R$58 million, representing a solid increase compared to R$70 million in the third quarter of '22. Moreover, to the right side, in the '23 cycle, our free cash flow reached R$145 million, a 167% increase from the R$50 million in '22. On another important metric, our last 12 months free cash flow to adjusted EBITDA conversion rates improved from 16% to 35%, reinforcing the message that cash generation continues to be a key focus area of our business. Moving to Slide 10. Let me give you more details on the provision for doubtful accounts. Total expenses with PDA in the third quarter of '23 totaled R$15 million, representing 6% of the net revenue compared to the expenses of R$5 million in the comparable quarter. Moving to the right side of the slide, we can observe that PDA for the '23 commercial cycle, where reported provision for doubtful accounts grew 150 basis points between the comparable cycles from 2.4% to 3.9% of net revenue. This increase in PDA is impacted due to the provisioning of 100% of accounts receivable from a large retail, Brazilian retail company undergoing bankruptcy procedures in the amount of R$9 million in the '23 sales cycle, combined with the revised credit landscape. This has necessitated a prudent approach to risk management and credit provision with the prevailing market conditions. All factors considered, the participation of PDA in relation to Vasta's net revenue increased 3.9% in the '23 commercial cycle compared to 2.4%. However, excluding these one-off effects of the larger retail provisioning, the normalized PDA should be 3.1% of the net revenues, which is more in line with the typical course of our business. Moving to the next slide. We observed that the average payment terms of Vasta's accounts receivable portfolio was 118 days in the third quarter of '23, which is 31 days lower than the second quarter of this year. I will now conclude my part of this presentation with Slide 12. At the end of the third quarter of '23, Vasta achieved a reduction in net debt, which amounts to R$998 million, an improvement of R$16 million compared to the net position in the second quarter of '23. This achievement is due to the positive cash flow generated during the period in the amount of R$580 million, which surpasses the impact of interest accrual of R$36 million and the share buyback program in the amount of R$6 million in cash outflows. On the right side of the slide, we can observe that in third quarter '23, the net debt the last 12 months adjusted EBITDA ratio stands at 2.48x, which marks an improvement of 0.14x compared to the second quarter of '23 and an improvement of 0.5x when compared to the third quarter of '22. With that being said, I'll pass the word to our CEO, Guilherme Melega.
Guilherme Melega: Thank you, Marcelo. Moving to Slide 14. In this quarter, we released our sustainability report for the year of 2022. This report, which is the company's second report was prepared in accordance with international standards for reports of this category and showcased the implementation of our corporate strategy, challenges and achievements while also reaffirming our commitment to transparency and sustainability. The report complies with the global reporting initiative and also considers other standards recognizing in Brazil and abroad, such as the Sustainability Accounting Standards Board guidelines for education sector. We are proud to say that we made strides and increase the visibility of our ESG strategy in all three pillars. In the environmental pillar, we published our first greenhouse gas inventory, we increased renewable energy consumption. We reduced our water intake. We have been FSC-certified for sustainable paper sourcing, ensuring exclusive partnership with similarly certified suppliers. We developed and distributed content related to sustainability among several other achievements. In the social pillar, we launched our first affirmative inter-ship problem, SOMOS Afro. We enhanced regulatory tools with clear good driven policies. We continued our efforts with the SOMOS Institute for every R$1 invested by the SOMOS Institute, R$11 were returned to society. Then the governance pillar, I can highlight that we have committed to the UN Global Compact and principle in human rights, labor, the environment and antitrust. And we have the Women On Board certification due to the presence of women on the Board of directors. I encourage you to visit our website and access our full sustainability report, which is available both in Portuguese and English. I finalize my presentation with Slide 15. To mark the closure of 2023 business cycle, I would like to highlight six key elements that I believe have shaped this cycle. Our brands. Our journey of evolution was marked by the continuous evolution of our core and complementary brands. For example, our Pitagoras brand, which is celebrating 57 years of excellence has rejuvenated its brand modernized itself and brings transformation in the pedagogical structure. We also redefined the educational experience with the migration from the Eleva brand to our new identity, [Amplia]. And in complementary segment, the launch of Eduall in the partnership with MacMillan Education and [Nile] marked a significant milestone for the 2023 cycle. Exceptional academic results, our dedication to educational quality was reflected in outstanding academic achievements. Anglo continue to lead the universe acceptance across the country. PH experienced a remarkable 35% growth in acceptances, [Amplia] and Fibonacci also one at their place as top performers in ENEM examinations. Revenue growth in new revenues, the launch of Start Anglo franchise combined bilingualism with academic excellence, represents a strategic expansion in our pursuit of new revenue stream. The first units are set to operate in 2024, marking the beginning of an exciting journey. Initiative technology, sorry, innovative technology. Our Plurall platform proved to be a valuable ally for foreign students and teachers, leaving the K-12 web traffic with 32% traffic share in Brazil. We surpassed the milestone of two million enrolled students. Also our adaptive learning and artificial intelligence solutions, such as Plurall Adapta and [indiscernible] demonstrate our commitment to driving educational innovation. Solid financial results. Our financial indicator speaks for themselves. We achieved 24% growth in revenue, 22% in EBITDA and an increase of 167% in free cash flow. These numbers reflect our commitment to financial stability and value creation. B2G, we successfully ventured into the public sector, generating revenue of R$80 million by serving other 300,000 students. With all this in mind, 2023 was an extraordinary year, a milestone in our journey. These achievements position us favorably to face the challenges that the future holds. We have the confidence that we are on the right path to continue delivering outstanding results for our shareholders, solidify strong partnerships and make a significant contribution to our countries education. Having said that, I finish our presentation and invite you all to the Q&A session.
Operator: [Operator Instructions] Our first question comes from the line of Lucas Nagano from Morgan Stanley. Please go ahead with your question.
Lucas Nagano: Hi, good evening everyone. Thanks for taking our questions. We have two questions. The first one is related to the 2024 ACV. If you could give us some color on the expectations. So for example, core revenue grew 15%, the cycle. It was a little bit dragged by PAR, but we were just wondering if this is the new expected level from now the penetration of Learning Systems is more mature? And in complementary, you delivered 40% growth, and we were wondering if this is sustainable for a few more years. The second question is related to B2G. If you could provide us some details if this was related to one or a few or many contracts and what type of service was provided? We wanted to kind of assess the level of recurrence and the ability to scale up this type of solution. Thank you.
Guilherme Melega: Thanks, Lucas. Let me address your questions. First, about 2024 ACV, let me give you some color about that. First, let's keep in mind that our ACV for the last four commercial cycles. So since the ACV of 2019 until now, we have a compound growth of 20.5%. So we just delivered the last ACV that when you compare the last four cycles, we reached more than 20%. That's the trend that we want to keep on our company. And we do not expect any different trend from that. Since our core is still growing. We have very reputable brands, and they are very important for learning system growth. And complementary, although it's growing fast, we have a very low penetration yet on our base and on the total schools. So we definitely foresee this level of growth for complementary. So we definitely expect to keep the trend. On Cogna Day on December 7th, we will deliver our guideline, and we will wait until then since we are on the peak of the campaign, but just giving you some color, we do not expect any difference on the trend. B2G. B2G, we recognized the second half of the same contract that refers to the state of Para. We delivered the first half of the year. Now we delivered the second half of the year. So it's a single contract. And the contract with the public entity must be renewed every year. So although we believe we set the baseline to growth on next year, it represents a single contract for us. But definitely, we expect growth coming from the B2G from this baseline for next year.
Lucas Nagano: That's very clear. You mentioned that for next year, there is a baseline, but should there be like some kind of volatility in the process like in the next quarter and the next few quarters?
Guilherme Melega: Thank you. Sure. We do not expect any new revenue in Q4 since this product is related to [SIAB and the SIAB] exam is in November. So we already delivered all our products and services for this year, but we expect to renew the contract or to acquire new contracts for next year. And normally, the revenue recognition should be Q2 and Q3. But that's not a rule.
Lucas Nagano: Perfect. Thank you.
Operator: [Operator Instructions] Our next question comes from the line of Marcelo Santos from JPMorgan. Please go ahead with your question
Marcelo Santos: Hi. Good evening, Melega. Thank you for the opportunity to make questions. I have two also on our side. The first, if you could comment a bit the margin outlook for the coming cycle. So you said like this cycle, you had a slight decrease. You listed the issues like a little bit of bad debt production cost and paper. How do you see the outlook for the coming cycle? And the second question is if you could comment a bit on Educbank. Is there any metric of performance that you could share? We see still generating net losses, but is in early stages. So is there any insight you could provide on this initiative? Thank you.
Guilherme Melega: Hi, Marcelo, thank you for your question. Regarding margins, we expect to have better margins for next year. We are always pursuing the 30% adjusted EBITDA margin. We will not expect new impacts from paper for next year. So we already recognized -- our inventory level is already at the old price level. We do not expect new paper price increases. Of course, there are inflation, but we have been able to move cost base price adjustment. So our prices for next year is on the double-digit level. So we expect to recover some of our margins for 2024. And regarding Educbank, Educbank, we're very excited with Educbank performance. This year, that the company was able to fund themselves with R$70 million securitization, and they have new credit lines in place to fund the growth. We expect to end this year, December with 85,000 students billed and next year, December next year with 220,000 students billet. So it's a very fast growth company that are funded by itself in the market that proves the confidence that everybody has with the business model. And in terms of TPV, we are reaching the R$50 million level right now. And obviously, this will grow with the billed students for the new billed students level for next year.
Marcelo Santos: Just a clarification. The R$50 million is what if you annualize, like today's student it's R$50 million or is R$50 million for this year, just to understand?
Guilherme Melega: No, it's monthly. R$50 million monthly.
Marcelo Werneck: R$600 million annualized.
Marcelo Santos: Okay. R$50 million monthly, R$600 million annualized. Thank you very much. Very clear.
Marcelo Werneck: Thank you, Marcelo.
Operator: [Operator Instructions] We have a follow-up question from Marcelo Santos from JPMorgan.
Marcelo Santos: Hi, thanks for the follow-up. Just wanted to ask one single question. Usually, the third quarter was a very weak quarter in terms of margins like seasonally speaking, and you have been proving that. What's happening? What's causing you to generate this improvement over the last several years? And is this something that we should start seeing more smooth EBITDA distribution in the coming years?
Guilherme Melega: Thank you. Marcelo, the major contribution is volume. We are growing and Q3 benefits from higher volumes and not only on the B2B segment, but also the B2G, we just recognized R$40 million on the B2G. So margins are growing because the company is growing. That's pretty much it. There is no seasonality still drives our margins. Q4 will be the biggest margin on our business followed by Q1. And then we have Q2 and Q3 that we are stabilizing it on a new level of around 10%.
Marcelo Santos: Perfect. Thank you very much. Very clear. Thank you.
Operator: Our next question comes from Lucas Nagano from Morgan Stanley. Please go ahead with your question.
Lucas Nagano: Thanks for the follow-up question. I have a question on PDA specifically. So looking at Q3 alone, the PDA expenses increased because of churn, mainly non-premium brands, as you say. I just wanted to understand what caused this churn? And how is the financial situation in those schools because the hypothesis is that things should improve from now led by macro indicators. So I just wanted to understand if there's kind of any structural change there? Thank you.
Guilherme Melega: Lucas, thank you. And you are right. Your hypothesis is right. We had a one-off in terms of cycle. We have the recognition of R$9 million from the large retail company in bankruptcy procedures. Taking this considering it, our PDA level is now at 3.1%. And this increase of 0.7% from the cycle of 2022 is pretty much due to macroeconomic environment. We are seeing a slightly delinquency increase in the entire economy, and the schools are also facing that. And the 3.1, we believe it's still a very low PDA level and definitely is one of the lower in the industry.
Lucas Nagano: Okay. Thank you.
Operator: That appears to be no further questions at this time. Marcelo Werneck, I'll turn the call back over to you.
Guilherme Melega: I'll take it here. Thank you all for participating in Q3 earnings release. We are very proud to deliver the cycle results that we just delivered with 24% revenue growth, 23% EBITDA growth and the free cash flow EBITDA moving from 16% to 35%. Moreover, to have implemented two very important growth avenues such as the B2G and the Start-Anglo business. And looking forward to see you again and we reaffirm our commitment and excitement for the new cycle and looking forward to see you at a Cogna Day.
Operator: Thank you. Ladies and gentlemen, we will conclude today's conference call. Thank you for participating. You may now disconnect.